Operator: Good morning. Thank you for standing by, and welcome to the Madison Square Garden Sports Corp. Fiscal 2022 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s remarks, there will be a question-and-answer session.  I would now like to turn the call over to Ari Danes, Investor Relations. Please go ahead. 
Ari Danes: Thank you, operator. Good morning and welcome to MSG Sports Fiscal 2022 First Quarter Earnings Conference Call. Our President and CEO, Andy Lustgarten will begin this morning's call with an update on the company's operations. This will be followed by a review of our financial results with Victoria Mink, our EVP, Chief Financial Officer and Treasurer. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our corporate website. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements, within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results, and involve risks and uncertainties, and that actual results developments, and events may differ materially from those in the forward-looking statements as a result of various factors. These include financial community perceptions of the company and its business, operations, financial condition, and the industry in which it operates, as well as the factors described in the company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On pages 4 and 5 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income or AOI, a non-GAAP financial measure. And with that, I'll now turn the call over to Andy.
Andy Lustgarten: Good morning and thank you for joining us. As you know, when we became a stand-alone sports company, we announced in keeping with the cadence of our business that we would conduct earnings calls for the fiscal second and fourth quarters only. While that remains our plan going forward, given the still fluid operating environment due to the pandemic, we thought it was important to provide an update on our business, including some positive signs we're seeing across the company, which we expect will be reflected in our results over the balance of this fiscal year. This positive shift is being driven by both consumer and corporate demand, which is continuing to improve in a number of areas. I'll take you through more details shortly, but these areas, include season tickets, per caps for food beverage and merchandise, suites and marketing partnerships. We are not out of the woods yet. There remain lingering effects of the pandemic and select areas of softness in the business. However, we are as confident as ever, both in our fundamentals and that we are on the path back to normal operations. At the center of it all, are two tremendously valuable assets the Knicks and Rangers, iconic franchises with dedicated fan bases that play in the largest media market in the world. As we discussed on our last earnings call, there have recently been several precedent transactions across our leagues that highlight the robust value of professional sports teams. These include minority stake sales, with no public market liquidity, involving the Los Angeles Lakers and Golden State Warriors at reported valuations of $5 billion and above. And since we spoke last quarter, there have been additional data points, specifically for our company. Last month, Forbes published its annual list of NBA team valuations, with the Knicks leading the league at $5.8 billion. In addition Sportico, recently released its NHL team valuations, listing the Rangers as the second most valuable franchise at nearly $1.9 billion. These two valuations, when combined are obviously well in excess of our current enterprise value of just over $5 billion, and speak to the enormous and still untapped value of our marquee assets. Let's now turn to our business operations. The NBA and NHL 2021-2022 regular seasons are underway with both the Knicks and Rangers having signed a number of key players to new contracts. Since our last call this includes the Rangers reaching long-term extensions with Mika Zibanejad and Adam Fox. We're extremely happy with the composition of our rosters and the direction of our -- of both teams. After the disappointment of two shortened seasons due to the pandemic both teams are scheduled to play full seasons this year with no capacity restrictions at The Garden and the response from our fans has been tremendous. We are extremely pleased with where we are on season tickets, which is the significant majority of tickets sold for both the Knicks and Rangers. The teams have a combined season ticket renewal rate of 94% and have also experienced strong sales for new customer season ticket packages. The pandemic's impact on international tourism has, however, had a lingering effect on our group and individual tickets, which make up a minority of our overall ticket sales. We're hopeful this will be mitigated by the loosening of international travel restrictions into the US, which took effect this week. Closer to home, we see other possible tailwinds for ticket sales. Office occupancy in New York City, while still very low has increased significantly in the past 1.5 months. And according to a recent survey of major city employers by the partnership for New York City is expected to improve substantially by January. In addition, the percentage of adults in New York State that have received at least one vaccination dose is now nearly 90% and rising. And the CDC's recent approval of vaccinations for children could bring more families back to games. So we think all signs are pointing in the right direction. And we're also seeing particular strengths in other areas. For example, the enthusiasm we've seen from fans who have been eager to watch their team in person has been terrific. Not only, are they bringing an incredible amount of excitement to The Garden, they're spending. And while it's still early in the season this has led to strong double-digit percentage increases in F&B and merchandise per caps compared to pre-pandemic levels. We've also seen this enthusiasm extend to corporate hospitality as our suite-holders have started to entertain again at The Garden. In fact so far this season average suite usage for the Knicks and Rangers is back to nearly 85% of historical levels. This renewed interest in corporate hospitality has also helped accelerate activity around suite renewals and new sales. Our team has been working hard to return suite revenue to pre-pandemic levels and we're pleased to say that on a go-forward run rate basis, we've achieved that goal. Another proof point of corporate confidence has been engagement we're seeing by our marketing partners. They've been extremely supportive over the past 20 months. And as we make our way back to normal operations, we are pleased to find the readiness to embrace existing partnerships while also adding new ones. As we mentioned on our last earnings call, this past summer we renewed our marquee partnership with JPMorgan Chase. Since then, we've also successfully renewed deals with a number of our existing signature marketing partners; Lexus, Anheuser-Busch and Squarespace, while also adding a new signature partner to our roster Infosys, a global leader in digital services. In addition, we continue to complete other important marketing partnership deals, including our recent extension with Kia and our announcement that Benjamin Moore has joined as an official partner and helmet sponsor of the Rangers. We applaud the NHL and NBA for their ongoing efforts to introduce new marketing partnership opportunities. In addition to the NHL helmet sponsor, last year also brought the introduction of a second NBA practice jersey patch and virtual signage on the court for the NBA and on ice for the NHL. The NBA has also expanded international sponsorship rights, increasing the number of sponsors a team can have, while the NHL has approved the jersey patch for teams starting next season. We're actively in the market now for much of this new inventory. The league's efforts also extend to embracing new sponsorship categories such as sports gaming. Just this week, we completed an agreement with BetMGM, which represents our first significant partnership related to mobile sports gaming in New York State. This expansive multiyear deal which was done in partnership with MSG Entertainment includes deep integration with the Knicks and Rangers, as well as across MSG Entertainment's portfolio, most notably at the World's Most Famous Arena. And this announcement is just the beginning. BetMGM is our first major sponsor in this important category. Although, we don't expect them to be our only partner, as we begin to realize this tremendous opportunity, this space represents for our company. As you can see, we are experiencing real momentum, across our business, driven by the strong desire of our customers and partners to fully engage with our assets and with each other. We also see substantial upside opportunities across nearly all of our major revenue lines, as our on-court and on-ice performance improve over time. And while challenges remain as we continue to navigate this unique environment, we believe strongly in the value of our brands, the incredible energy and excitement of our games and the enduring connection between our franchises and their fans and we are confident in our ability to drive long-term value for our shareholders. And with that, I'll turn the call over to Victoria.
Victoria Mink: Thank you, Andy, and good morning everyone. I'll start by very briefly touching on our fiscal first quarter results. Total revenues for the quarter were $18.8 million, as compared to $57 million in the prior year quarter. We also generated an adjusted operating loss of $28.1 million, as compared with a loss of $17.8 million in the prior year period. I would note that year-over-year comparability for the fiscal first quarter was impacted by the NHL and NBA's return to play in the prior year period. Additionally, we held two preseason games in the current quarter versus none in the prior year period, as the 2019-'20 return to play last year also caused delayed starts to the 2021 seasons. More detail on our first quarter financial results can be found in our Form 10-Q, which we filed yesterday after market close. In terms of liquidity, we continue to prudently manage our balance sheet. As of September 30, we had $278.6 million of liquidity, comprised of cash and cash equivalents and available borrowing capacity under our existing credit facilities. And our total debt outstanding at quarter end was $385 million. Looking ahead, the balance of the fiscal year will primarily reflect the financial results of the 2021-'22 seasons for the Knicks and the Rangers. And as Andy discussed, we are seeing positive momentum across virtually every revenue line of our business. Ticket, food, beverage and merchandise sales have been strong, while suites and sponsorship revenue have essentially returned to pre-pandemic levels on a go-forward run rate basis. In addition, media rights revenue this fiscal year on the NHL side will reflect a significant increase as a result of the league's new national media rights agreements with Disney and WarnerMedia. In summary, we feel very good about the trajectory of our business for the remainder of fiscal 2022 and I believe our company is on the path back to normalized results. With that, I will now turn the call back over to Ari.
Ari Danes: Thank you, Victoria. Operator, we would now like to open the call for questions.
Operator:  Your first question comes from the line of David Karnovsky with JPMorgan.
David Karnovsky: Thank you. I just have one. In light of the better outlook today, is there any update you can provide on some of your thinking about capital allocation? Where would you need the business to be to consider share repurchases? Thank you.
Victoria Mink: Hi Dave, it's Victoria. Thanks for the question. We've talked a bit about this before. And of course, our number one priority is to ensure the health of our company and to protect our assets. So, as you know, we took on additional debt last year to strengthen our liquidity position. But now that our business is turning the corner, we've started to pay that down a bit and we're considering paying down more debt in the near term. But looking ahead, we are very encouraged by the positive signs we're seeing across our business. And we do feel really confident about our long-term outlook. And over time, we'll look at all options for utilizing our free cash flow.
David Karnovsky: Okay. Thank you.
Operator: Our next question comes from the line of Ben Swinburne with Morgan Stanley.
Ben Swinburne: Thanks. Good morning. Andy, could you talk a little bit about sort of sports betting as it relates to your two marquee franchises and sort of the opportunity there? Not just what you've signed with BetMGM but looking longer term, do you see this as an evolving space for the leagues that have historically been a bit reticent about embracing sports betting? Do you think this becomes a bigger and bigger part of the business and revenue profile of the teams over the longer term? And then maybe just taking another quick crack at the balance sheet. Is there sort of a right debt level for this kind of business? I know the leagues are involved in approving leverage or have at least a role to play there. But I don't know if there's any kind of framework you could think – we could think about for the optimal capital structure for a business like this just to pick up on the last question. Thank you.
Andy Lustgarten: Thanks, Ben. Well, let's start with your sports gaming question. So I'll start and I start every time with the same comment because I think it's super important. This – to me sports gaming – or us sports gaming reflects two points: one, today; and two, tomorrow. And what I mean by that is as gaming continues to take adoption it will drive viewership and engagement. Viewership and engagement pays off today with some ticket prices but long term with what we're able to do through with our sponsors and eventually long – and even longer term with our media deals. So it's a very valuable tool in an inventory of driving engagement and enthusiasm for the sport. Second, today. So today obviously, New York just opened us granted the nine operators their licenses. BetMGM is our first partner as we mentioned. We feel really good about that partnership. As a sports team, we have lots of ability to drive revenue out of that – of those sports partners. So specifically here at MSG Sports, the two teams have been on all premium signage, so on-court, on-ice, courtside rotation. Some of our other premium assets patches, helmets, stickers, et cetera, right? So those are all assets that we control and own. Second, official partner designations. That has tremendous amount of value both in market and depending on who our operators could even be international value. But even – the thing that seems to be even more driving the gaming interest in us is our access to our consumers both through in venue and through direct relationships digitally, et cetera and database. So of course not surprisingly that's the largest group of people – the people who are most likely to game and so hence the most likely – the most interested of a gamer – of a gaming company. So there's lots of opportunities for our sports team to drive revenue. Through our relationship with MSG Entertainment, we also share in unique exposure right here at the arena. So to remind you, all fixed arena signage and all entitlements are shared very robustly between the two entities between MSG Sports and MSG Entertainment. And again, MSG Entertainment being able to represent across the network, the arena MSG Entertainment as well as MSG Sports, we're able to offer our partner a much larger package an offering than anybody else can. And I believe it's going to be reflected in what we're able to generate in this category because we're going to be able to deliver customers and interest like nobody else can in the largest market or it's forecasted to be the largest market. So that's why we've seen – we think we've been off to a fast start. We've had a lot of interest from the other eight remaining gaming partners or licensors. And we think this is going to be a really big opportunity for our company, both as I said, in the near term as well as in the long-term.
Ben Swinburne: Got it.
Victoria Mink: Ben, it's Victoria. Let me follow up on your second part of your question there. So we're not going to provide guidance on the leverage target. But let me just remind you just two quick points. I mean first of all, the amount of debt that we can incur is capped by the leagues. That's sort of the first point. And I think, the second point is just as a reminder, we are looking at paying down some of the debt in the near-term as we just closely track how the business continues to perform.
Ben Swinburne: Got it. Thank you.
Operator: Your next question comes from the line of Brandon Ross with LightShed Partners. 
Brandon Ross: Hi. Good morning. I know, we've discussed this a lot yesterday in the MSG e-call, but there's lots going on with RSNs now with -- especially with the MSG and Comcast dispute and all the rhetoric out of the leagues with potential alternative local broadcast models. And I wanted to ask you Andy how you see the RSN ecosystem playing out over the next several years and what do you think the impact will be on your teams? And then more specifically is there a scenario where you see needing to renegotiate your deal with networks? And what are your overarching goals as the RSN business takes on new models? 
Andy Lustgarten: All right. Thanks, Brandon. So let's start at the top. So let's just lay some simple facts, right? We have a very long-term local media contract with annual escalators, which we think are strong for both teams that are not subject to any economic changes based on distribution, right? And I'd say, we have the utmost confidence in our partner in MSG Networks' ability to drive distribution and drive value, right? So taking a step back so that's from the team point of view. Taking a step back, I think, at a macro point of view, we strongly believe in the value of professional sports content, especially, premium sports content like the Knicks and Rangers. If you take any point in time of the history since sports media rights have been created, if you've been an investor in it you've succeeded. It's been a great investment over any sustained period of time. Can there be hiccups in any some short order? Sure. But when you take a long-term view about what sports media rights are it is a great asset to own. Right now we have a long-term partner who holds those rights, but I love being the granter of those rights. And when you take a look again just to make the point about the great long-term investment look at the latest NHL deal very strong deal out of the NHL. We expect a very strong deal out of the NBA when their rights come up. And so yes, the landscape is evolving. Yes there's some noise in the market right now. But having those rights and the ability to exploit it there's going to be more than enough ways to monetize our content. And so we feel very good about it. I would -- to get to your question about how we see it feel about it how we feel here about Knicks and Rangers so one I would say look our goal is obviously to maximize distribution to drive revenue sponsorship tickets that the distribution drives. On your question about a renegotiation, let me start by saying again, we feel very strong about what the value of the owning rights. So that's the first point. But secondly, just in terms of thinking about our ability to renegotiate or not renegotiate remember that first any changes to a contract would go -- have to go through the leagues and then go through our independent Board. So I think there is a very strong view that we have -- we feel very good about our rights here and our rights fees. And I would also speak say that while I can't speak for other leagues, we feel very confident in both the NBA and NHL's understanding and recognition of the importance of the RSNs and are very focused on finding a path forward to protect this overall ecosystem for both which includes the leagues, the teams and their networks. So I think this -- we feel very good about being a rights holder just to conclude Brandon. 
Brandon Ross: Thanks. And just one more. For the first time in a long time both the Rangers and the Knicks are off to really good starts. And I was wondering if you could remind us or help us think about the buckets of financial upside from good team performance. I know most of the tickets for bulk teams are sold in advance but -- and sponsorships locked in. But what are the other buckets that could really accelerate financial performance from the teams playing well? 
Andy Lustgarten: So I'm going to split that in -- your question Brandon into two parts: short-term, long-term. Short-term, there's always -- as we've talked about in the past, we're very focused on having a direct relationship with our customer and going after the high volume of sellers. So, we do sell independent tickets and we very much variably price those tickets. So there is upside in our independent tickets -- individual tickets as team performs in any single season. But let's take a more macro point of view and what it would look like of sustained team performance, because I think that's really what your question is and how that could impact -- positively impact value, right? So let's just start. Let me remind you we have a number of revenue streams that are fixed and contractual: media rights, both set from our leagues and our MSG network, set escalators, our suite and our sponsorships, those are locked -- the ones are currently signed or locked also long-term set with escalators. Obviously, there's ability to sell incremental sponsorship and open up new categories or new -- or find new assets to sell. We've mentioned about how the leagues focus on releasing new assets for us. So again, we're able to go and monetize those and that will be impacted by team performance. But over time and again, I guess I would say, in the short order is obviously there's playoff performance and during the playoffs. Playoffs are very valuable in terms of incremental gate. And actually, if you go deeper in the playoffs you earn -- it's big pieces of incremental revenue but that also has a long-term impact, because as team performance not only do you increase from that year's playoff, but you have follow-on benefits from increasing season ticket renewals. And as you know, historically, we only reevaluate ticket prices after a playoff run. So again, further upside as teams perform. The other place that's both affect us today is our -- in individual suite sales. But over the long-term when suite licenses or sponsorship deals come up, we're able to drive different prices through both of those types -- through both of those either renewals or new sales club memberships as well, I'd say, the same. So to conclude, I'd say look, we've got a number of -- this business we feel very strong about this business. We have a number of fixed revenue streams that provide a really strong ballast for our company and its performance in any given year. But with sustained team performance over time, I could think certainly accelerate revenue growth -- a new revenue growth for this company.
Brandon Ross: Great. Thanks so much.
Ari Danes: Thanks, Brandon. Operator, we have time for one last caller.
Operator: Your last question comes from the line of John Janedis with Wolfe Research.
John Janedis: Thank you. Andy, this maybe somewhat related but given your comments on new marketing partners, can you give more color on upside from here? You talked about Benjamin Moore. Are there any other categories where you're underpenetrated? And how meaningful could the jersey patch opportunity be for the Rangers? And would that revenue potentially head next season?
Andy Lustgarten: Sure. So let's -- there's a few questions in there. I think I want to move through it in a -- try to answer them on. If I missed one John, just jump in and let me know. Let's start with the NHL patch, because I think it ties into your question about what are our opportunities in categories. What's great about an NHL patch or any single -- any type -- any time a league opens up some premium new inventory, it's not only the revenue you're able to drive from that actual asset or that inventory. It's what you're able to do with the whole partnership. So, I'll give the example of Squarespace and the Knicks jersey patch. We're able to generate a nice -- have a nice partnership through both -- through the patch or the sale of the patch, but it enabled us to open up a whole new category, a signature partner and sell a whole number of other assets and drive our rate card there. So, it's not only about the actual inventory. It's about what you're able to do with the inventory. And what we find is when you have the premium inventory, you're able to go and create new partnerships based around ownership of that premium inventory. So the NHL patch, when it comes online next year, we'll drive revenue there. But our expectation is we will be selling it this year, some time through the year to get into place next year. We could reach a partner earlier and start selling some assets around that. Obviously the big piece of it will be when the patch opens up next season, but there is opportunity this year. I'm not promising that we're going to reach it, because we do want to figure out how to maximize that category and maximize that asset. So we will be patient, because what we do also understand is that premium assets to sell them correctly, you want to be a little patient, you don't want to go rush to market or else you will not drive the maximum revenue from it. But when we take a more macro point of view about marketing partnerships, categories other types of assets that we have, we think there's -- we think we have a lot of upside still. I think we already mentioned, our marketing partnership business is back to pre-pandemic levels already. We're very proud of that on a go-forward basis.  Sports betting took us to exceeding our pre-pandemic level. When we measure ourselves against a number of metrics we're able to see across different categories, see where people are spending. There are certain categories, we have yet to tap into. Cryptocurrency, is a very big opportunity. Both -- the leagues have already reached at certain teams. There's been a naming rights partner in Miami. I mean it's been it's a pretty significant category and we're it's one we're focused on right now. Fitness and health companies such as Peloton or Fitbit they're all looking to reach sports customers and our customers. Health insurance, home improvements these are all categories we really haven't tapped into yet. We have a number of premium assets. We already talked about the NHL patch coming but international rights in the NBA that's a big asset, we haven't fully maximized yet. And I'll mention also in the NBA while we have a current patch partner, when that patch comes to market, we believe there's huge upside there as the market seems to really move in that space in terms of what some of the teams have just recently signed deals, what they have been able to realize. We think there's big upside there as well. And we think there's a huge advantage in the way we go to market, being able to sell across with our partner in MSG Entertainment being able to sell across the networks, across arenas, across fixed assets, and across the teams and being able to provide -- and to be able to provide a holistic solution for a partner enables us to drive premium revenues for both -- for the sports for our teams. So we think it's a great opportunity here. And so we think, just to really reiterate, we feel really good about where we are but we feel even better about where the future is.
John Janedis: All right. Thank you.
Operator: I'd like to turn the call back now over to Ari Danes, for any closing remarks. 
Ari Danes: Thank you all for joining us. We look forward to speaking with you on our next earnings call. Have a great day. 
Operator: Goodbye. Ladies and gentlemen, this concludes today's conference call. We thank you for your participation. You may now disconnect.